Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today, Linda Moore, Chief Legal Officer. Please go ahead, ma’am.
Linda Moore: Good afternoon, everyone, and thank you for joining our call. Welcome to the 2021 third quarter earnings conference call for Marrone Bio Innovations. Our presenters today are CEO, Kevin Helash; and CFO, Sue Cheung. During the Q&A section, we will be joined by Matti Tiainen, our Senior Vice President of International Sales. If you would please refer to Slide 2, I would like to remind you that this conference call may contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding management’s future expectations, plans, projections, forecasts and prospects. Certain material assumptions were applied in reaching these conclusions and making these statements. Therefore, actual results could differ materially from those contained in our forward-looking information. Important factors that could cause differences are contained in the reports filed by the company with the Securities and Exchange Commission, including under the heading Risk Factors, MD&A and elsewhere in the company’s Annual Report, quarterly reports and other filings. The company expressly disclaims any obligation to revise or update any guidance or other forward-looking statements to reflect events or circumstances that may arise after the date of this call. After our remarks, we will hold a question-and-answer session. I will now turn the call over to our CEO, Kevin Helash. Kevin?
Kevin Helash: Thank you, Linda, and thanks to everyone joining us on the call today. If you would turn to Slide 3, as COVID restrictions have eased over the past several months, I’ve been fortunate enough to attend multiple meetings and events with key customers and industry peers. In our business, weather is always a topic of keen interest. And the recent wet weather in California and the Pacific Northwest was certainly welcomed and has a great start to what we hope will be a normal winter in terms of precipitation in the Western United States. What’s different this year, however, is the hyper focus on rising expenses for seed, fuel, fertilizers and crop protection products. As just two examples, the price of North American fertilizer set another record late last week, and top producers are signaling that prices will continue to climb. There are also widespread shortages of key herbicides, the costs of which have also ballooned. Inventories are so tight that even growers who are fortunate enough to have storage space on-farm and the cash on hand to pay upfront may not be able to lock in their supply of certain inputs. Everyone is experiencing supply chain challenges from basic raw materials to ocean containers. And by all accounts, we will have to manage our way through this situation well into next year. The positive side of the story is commodity prices. Corn and soybeans had an eight-year high this spring. And while they have moderated somewhat, current projections are for higher net farm income in 2021, which will bode well for crop input demand in 2022. All of these factors play into a level of uncertainty as to which products distributors and growers will buy and when. The Latin American growing season is underway, and after a year of severe drought, the main growing areas of Brazil have received abundant rainfall, leading to a revised forecast of record planting intentions for both corn and soybeans. The Southern Hemisphere harvest, in turn, will affect commodity prices and planting intentions in the Northern Hemisphere this spring. In this environment, our greatest strength has been our decision to diversify. We have the product line and equally important, the distribution channel that will allow us to win, whether the farmer chooses corn or soybeans, and we can succeed in specialty crops as well as a large row crop market. We can serve a farmer in Europe as easily as one in Argentina, and we can protect the crop from seed to leap. In terms of uncertainty, optionality like ours is a powerful tool. If you would turn to Slide 4, let me expand on how I see us positioned for the remainder of the year and into 2022. Sue will go into the third quarter financials in a moment, but my key takeaways are this. First, our team has been remarkably resilient during this period and their dedication towards supporting our customers continues to impress me. Second, the strength of our portfolio remains a strategic advantage and has allowed us to grow sales in the double digits despite the headwinds we’ve experienced. And third, access to the market through our channel partners provides us with outstanding opportunities to creatively position our products in all sectors as we move into the 2022 crop year. That being said, we are cautiously optimistic about successfully closing out the year. Given current market dynamics, it is fair to assume there will be greater variability between the fourth and first quarters and therefore, prudent to widen the band of expected revenue growth, which we now anticipate will be in the low-double digit to mid-teens range for 2021. At roughly the midpoint of the fourth quarter, we have already booked or have purchase orders in hand for half of our targeted revenues for this period. There is still plenty of heavy lifting to be done, but this is solid progress. We continue to expect our product mix will deliver annual gross margins in the upper 50% range, and operating expenses should remain in line with 2020 plus inflation. As we prepare for more robust sales in 2022, we must execute on some key tactics. First, we must stay ahead of the supply chain to ensure raw materials are in place to manufacture our products without disruption. You’ll see this reflected in our balance sheet this quarter as we were strategically building inventories in anticipation of sales needs in 2022. We believe our manufacturing position in the United States is a competitive advantage in this environment as many of the alternatives are coming to the U.S. from overseas with greater delivery risk. We intend to be the first in line to supply our biological solutions in season to fill potential gaps in the delivery of traditional products, many of which are in short supply. Second, we have to be in close concert with our customers to anticipate grower demand during this dynamic environment. We need to have the right product with the right value proposition in the channel well ahead of time to ensure availability to maximize sales. Third, the value of our seed treatment business has never been greater. Growers may pull back on fertilizers and crop protection products in tough times. But if they’re going to grow a crop, they have to plant seed. Our products are applied by our seed company channel partners, so it’s a near guarantee that when a grower purchases a bag of corn, soybeans or cotton from one of our seed partners, we’re there. Fourth, we need to exploit the advantages of our BioUnite program, as shown on Slide 5. Our prescribed tank mixes have the opportunity to grow dramatically in a time of tight supply and accelerating costs. We believe this can open new doors for us to demonstrate the tremendous benefits our products offer. This is a unique point in time to promote our BioUnite offerings, allowing growers to stretch their dollars by using cost-effective and sustainable products with their traditional active ingredients. Strategically, our plan has been validated this year even as we dealt with external challenges on the revenue front. The macro trend toward growing food with a gender footprint that preserves natural resources and slows climate change has not changed. MBI has been and continues to be at the cutting-edge of meeting this need, and the value of our products is being borne out in this environment. But we can’t rest on our current portfolio or market reach to succeed. As you see on Slide 6, further diversification is critical to accelerating our growth. We’ve made great strides with a broader portfolio to expand our presence into a wider market, and we intend to maximize these opportunities. At the same time, we are still aggressively pursuing strategic alternatives to expand our capabilities in our core business that support to build out and our leadership in sustainable agriculture. While it is always challenging to find the right opportunity, I’m confident we will. At the same time, we are pushing hard on a refocused R&D pipeline. The recent regulatory submissions for our novel insecticides and nematicides, MBI-306 in the United States and MBI-206 in Brazil are major milestones for us. Late-stage developments in our herbicide program are giving us three different products to tap into a $27 billion market that is void of new, efficacious and cost-effective solutions. Even with these advancements, we can’t rest on our laurels. We are also exploring opportunities that will complement and turbocharge our R&D power to ensure we are employing the latest and greatest tools to ensure our long-term success. Having spent most of my career in the distribution side of agriculture, I’m very pleased with the breadth and depth of our distribution network. We’re working with the right partners and have reached into all major markets, particularly for row crops. I’m also confident in our manufacturing capabilities. Our decision to invest in our Michigan manufacturing plant looked good when we made it last year and it looks even smarter in today’s environment. Strategically, we are well positioned to regain our momentum and position our products for the upcoming 2022 season. Of all our capabilities, I’m most confident in the commitment and drive of our team to rebound from the challenges of 2021 and deliver on the full potential we offer to change the way food has grown to the benefit of our customers, our shareholders and our environment. I’d like to turn the call over to Sue now to go further into the financial results for the quarter and year-to-date. Sue?
Sue Cheung: Thank you, Kevin, and good afternoon to everyone on the call. If you will turn to Slide 7, revenues grew 12% to $9.9 million in the third quarter driven by higher sales of seed treatments and fungicides. Our strategic shifting to more global markets with our high-value seed treatment was reflected in our gross profit for both the quarter and for the first nine months. In third quarter, gross profit rose 21% to $6 million, and gross margins were 61.4%. Year-to-date, gross profit was up 16%, and gross margins were 62.1%. We’re committed to managing our costs effectively and have a target of keeping operating expenses at the same level in 2020 plus inflation. We achieved this again in the third quarter, with operating expenses of $10.5 million, essentially flat on a year-over-year basis. For the first nine months of the year, revenues were outpacing operating expenses. As a result, our operating expense ratio decreased to 91% as compared to 101% in the same period of 2020. On a comparative basis, I want to remind you that 2020 operating expenses had a onetime benefit of $1.4 million from the PPP loan. As we continue to scale our business internationally, it’s important that we have the right systems in place to support our growth. We’re investing in operating – automating some back-office processes that will allow us to scale without increasing headcount. This is another example of our commitment to both growth and operational efficiencies. The combination of higher revenues and gross margins, coupled with cost management, have improved our bottom line results. Our net loss for the third quarter decreased by 18% with a loss of $4.9 million in 2021 as compared with a loss of $6.1 million in the third quarter last year. For the first nine months of 2021, the net loss was $11.2 million as compared with a net loss of $16 million in the same period last year. We continue to improve adjusted EBITDA with a 22% improvement for the third quarter and a 47% improvement for the year-to-date. Continue the reduction of the net loss and efficient working capital management have improved our cash flow from operations. The use of cash from operations decreased 64% for the third quarter and 24% for the year-to-date. In summary, our continued expansion into new markets has allowed us to grow revenues and improve our product mix in the face of external challenges, coupled with the effective cost management, we’re continuing to move toward our goal of achieving positive adjusted EBITDA. With that said, I’d like to now turn the call back to Kevin for his closing remarks. Kevin?
Kevin Helash: Thank you, Sue. As we complete this year, we are mindful of both unique challenges before us and the opportunities they present. We continue to believe that Marrone Bio is uniquely positioned to capitalize upon the growing desire by stakeholders around the world to produce safe, healthy, affordable food with a gender footprint, and the execution of our strategy will ensure we maintain our leadership position in this sector. With that being said, I’d like to turn the call over to the operator for your questions. Operator?
Operator: Thank you, sir.  And speakers, we have our first question from Gerry Sweeney of Roth Capital. You may ask your question.
Gerry Sweeney: Good afternoon, Kevin, Sue. Thanks for taking the call.
Kevin Helash: Hey, Gerry.
Gerry Sweeney: So I wanted to start with just with the supply chain? Obviously, hearing lots about it. Curious if this is more of an issue of Marrone maybe acquiring raw materials to produce? Or is this more of an issue getting product out through your distribution channel? And is it hitting any other – any one particular product and particular words that spread across the entire portfolio?
Kevin Helash: Yes. Gerry, great question. I mean, there’s been a lot of talk about supply chain in the news everywhere, no matter if you’re in Europe or South America, North America. From our standpoint, Gerry, it’s a little bit all over, if you think about the inbound, the manufacturing and the outbound to our customer. But I would say that our supply chain team has done an absolutely fantastic job in managing the situation. We’ve significantly expanded our vendor list to supply us everything from sweeteners to chocolates to pallets. And then in terms of – on the outside, Gerry, outbound, we’re continuously looking for new transportation logistics partners as well to ensure we’re able to get wheels into our products and get them delivered to farm. So the short answer to your question is, it’s a little bit on the inside, in the inbound, and it’s a little bit on the outbound. But again, we feel that we’re managing the situation quite well in spite of everything going on around us.
Gerry Sweeney: Got it. And then the follow-up to that would be, obviously, disruptive conditions here, but sometimes there’s opportunity. And I think you touched upon it in your remarks just about agricultural commodity or chemicals across the board and inputs are stressed. Is this an opportunity for you to get some of your products into the market a little sooner? Maybe people adopt the products a little faster, people that normally hadn’t planned on using some biologicals moving into that market and drive a faster adoption rate. Have you seen any inkling or sense of that?
Kevin Helash: Gerry, that’s a great question. We certainly do see this as an opportunity. There is a lot of worry in the marketplace about getting the traditional products on farm on time or getting them at all. And certainly, by us having our manufacturing facility in Michigan and in Europe, we’re close to the market. We’ve got competitively priced products, and it’s a great opportunity, as we mentioned, for our BioUnite strategy to be deployed, whereby we can increase our participation in the growers program and not only provide them with great products, but also help them extend the acres that they can cover with their traditional chemistry or traditional crop protection products. So we’re certainly looking at it as an opportunity. And as I mentioned in my opening remarks, it will be an area of focus for us going into 2022 and beyond.
Gerry Sweeney: Okay, great. I’ll jump back. I appreciate it. Thank you.
Kevin Helash: Thanks, Gerry.
Operator: Our next question from Laurence Alexander of Jefferies. You may ask your question.
Kevin Helash: Hey, Laurence.
Laurence Alexander: Can you help on two fronts. One, in terms of the international expansion, how much – can you give us any detail on geographies or product categories where you’re seeing demand fall or particular traction? How much of this is cross selling, the same applications where you validate them in the U.S. to the same crops or you’re going into different crops and prudent different market relevance, if you sort of mean? And then the second one is, any kind of field trials or key data out of the most recent season that would have materially changed how you look at the ranking of the products in your R&D pipeline?
Kevin Helash: Great. Thanks, Laurence. Good to hear from you, again. I have Matti on the phone with me, our Senior Vice President of International. So I’ll turn the question over to him in a minute. So in terms of the question, where are we expanding geographically, our core markets continue to be North America, Europe and Latin America. Not to say that we’re not doing work in others. I would call those our core. And I’ll let Matti talk about how things are going in those markets in a second. But in terms of – you asked a great question, about are we able to leverage our knowledge and experience from our field trials in the markets that we’re currently in to move outside. So the knowledge that we’ve gained in Europe, the knowledge that we’ve gained in North America. And can we deploy that into Latin America? The short answer is yes. Certainly, we’re going into those markets and new market with a significant amount of knowledge in terms of how our products work, what crops they work on, what type of an application protocol should you have. So it really is a tremendous benefit for us to help fast forward or commercialization of our products. It certainly helps with the registration – from a registration standpoint, setting up our field trials and then demonstrating the effectiveness of our products. In terms of answering your last question, have we seen anything in our field trial data that’s changing our ranking? I would say actually, Laurence, the opposite by what we’ve seen this year, it is convincing us even more that we’re on the right path. We’ve got fantastic products. They’re absolutely doing amazing – showing amazing performance in the field. And it’s not only impressing us when we’re sharing the data with our channel partners, it’s really getting them excited especially when we’re talking about our MBI-306 programs and even some early-stage work on our herbicides. Matti, you want to – I’ll kick it over to you for any additional thoughts.
Matti Tiainen: Yes. Thanks, Kevin. You covered well in the ranking part. I agree that there in terms of prioritization of the pipeline and what we’re seeing in the trials, I agree, it’s really three of six – signs we’re seeing from the herbicide program definitely keeps the whole channel and our partners should wait and excited about what’s to come. At the same time, I think what’s really great, specifically on the international expansion when we look at our biopesticide portfolio, we really see us covering the ground with the local tests and diseases. So we’re really getting – hitting the mark with our data locally as well because that’s always the case that you have to build the case locally and then improve the efficacy, and that’s what we’ve been able to do. And even in some cases, to the extent that we’re extremely competitive from all points of view in the local markets. So that – it’s not a surprise per se, but it’s something that we were really expecting and once we’ve now delivered that data and submitted, for example, 206 does here in Brazil now, which we expect the registration for the latter part of 2023. I think that’s going to be an exciting one definitely. And then in Europe, we’re building up also with the upcoming submissions. And thanks for the first question as well. I think I’m just trying to break it down to – try to make it short and sweet because there were so many good aspects, and it’s really touching the point of our international expansion and the breakthrough moment that we’re having there because geographically, as Kevin mentioned, we’re really looking at North America, but then internationally, we’re focused on Europe and South America as well as parts of Africa. And what we’re seeing today is, first, we’ve covered ground on the seed treatment part. We’re already on over 25 million acres. But starting from next year, we’re seeing a new ground where we’re actually starting to dominate the seeds space. So we’re having more than one product on the same seed. And this is our promise to deliver more and more value to the seed and all the way to the growers. So we can really develop technologies that complement each other and bring value to the channel. And I think that’s an exciting benchmark that we’re having more than one product on the seed going into the market. Now in terms of crops and products, if I’m now keeping up with your segmentation from the great question, we launched three new products this year in Europe alone, and these were in the plant health and biostimulant sector. And that answers also to the other question. So the pool that we see is equal. So there is a great need for biopesticide, be it Europe or South America or Africa. But the regulatory time lines that we’ve been working through diligently, and we have a great regulatory department working on these details. But it’s still going to take a bit more longer time than it does with plant health and biostimulants. So what we have to offer as a company is really something valuable from the plant health and biosimilars perspective to really address the market and then build on our portfolio also on the future pipeline by bringing those biopesticides. Again, taking one step back. So on the crop side, we’ve been working a lot with corn. On seed treatment, we’ve been working with corn, sunflower, oilseed, grape, soybean, but also we’ve broken through into the cereals market in Europe this year with the launch of low-impact product, a downstream cereal seed treatment product in Europe that we also expect to roll over to North American markets and also South American markets. On top of that, we had two premium product launches this year, mainly targeted for corn, that we also expect to carry great performance and also great value throughout the whole channel. So on top of this, looking at the pipeline from our biopesticide portfolio underneath, Europe and South America are the leading CAGRs growers in biologicals, right? And we have a great pipeline in the regulatory side in submissions and also then in partners that we have selected for these products and then go-to-market plans, so our medium and long-term plans are really well covered from these launches. So all in all, it’s a really well balanced mix, both short, medium and long term. There is great pull, and we can offer something in the short term, medium-term and long term. But if I would have to highlight something from this quarter is we launched a new seed treatment product with Rizobacter in Argentina and the plant health and biostimulant side, we launched a new serial seed treatment product in Europe. That’s also going to cross over to North America, which is by far the largest seeded crop. And then we have this premium product launches also in the seed treatment side. So I think we’re pretty well laid out for the breakthrough here.
Laurence Alexander: And could you help me with just one – I don’t know if there’s a simple way to characterize this, but if you think about sort of the applications you have in your R&D pipeline and the potential acre touches. If you had a customer who woke up one day and just decided they absolutely loved your entire portfolio and used everything to the maximum of its potential. What would be kind of the revenue per acre? Or kind of how can we think about what the revenue opportunity might be out of farmer who just thinks your portfolio is the cat’s meow?
Kevin Helash: Yes, Laurence, that’s a very interesting question. And not to be evasive, but I will say that it depends on the crop. And so if we’re looking at high end specialty, where you do multiple sprays during a season versus, let’s say, Matti was talking about wheat or cereals, as an example, it will be quite different. But it’s a question that we’ll dig into a bit more and come back to you on. But I think – if I think about what percentage of the acres we’re on today, even with the growers that are with us, in terms of what the potential is, we’re not even scratching the surface, Laurence, right. So – but it’s a good question. We’ll come back on that one to you and give you a better answer.
Laurence Alexander: Okay. Thank you.
Matti Tiainen: And further, and I’ll just add to Kevin’s point, one, that I think that our BioUnite strategy as well is exactly to Kevin’s point, we’re stretching the surface. But I think that’s the vehicle that is also taking us towards the bigger budget when the grower is thinking and allocating the resources in terms of what the inputs are, the BioUnite and the performance of our products really puts them outside of that biological budget or that specialty budget that growers used to have and puts us in the main budget. So I think that not only are we scratching the surface, but we are also – we have the ability to be allocated to the main budget, if you may from a grower standpoint.
Laurence Alexander: Are making yourselves easier to buy or do business with? Got it.
Matti Tiainen: Right.
Laurence Alexander: Okay. Thank you. Thanks.
Kevin Helash: Thanks, Laurence.
Operator: Speakers, our next question from Ben Klieve of Lake Street Capital. You may ask your question.
Kevin Helash: Hey, Ben.
Ben Klieve: Hey, good afternoon, Kevin. Thanks for taking my questions. I got a couple on the quarter and then one on the R&D side. So first on the quarter and kind of the conditions you guys are facing now, particularly around the drought. My first question is the second quarter headwinds that you saw that were drought related. Did you see any of the kind of lost business in the quarter get pushed into the third quarter or maybe into the fourth quarter that’s yet to be realized? Or is the business that really just wasn’t able to be realized because of the drought, is that proving to be gone?
Kevin Helash: Yes. Ben, the way we think about it or the way it works is you only have that one-time to spray that acre, right. I mean, so if you lose the spray, let’s just say, for example, in orchard, you’re going to spray it 2, 3, 4 times. If you miss one of those phrases, they will make it up later, right. So when it’s gone, it’s gone. But I – we still have a very resilient business. I mean, we’re looking at our order book and the enthusiasm of our customers. And they’re already planning for 2022. And they’re talking to us about how do we load up the channel to ensure we’ve got the product in place and making sure that we’ve got programs that meet the needs of the growers to ensure they are also participating all the way through from now until when they need the product. So yes, we can’t go back and re-spray that acre, Ben, to answer your question, but certainly, the mindset today is the spring of 2021 is behind us, and we’re looking forward to 2022.
Ben Klieve: Got you. And that leads into my next question, let’s say that drought conditions continue into next year. What, if anything, are you guys doing internally here to kind of prepare for repeat conditions? If anything can be done?
Kevin Helash: Well, certainly, Ben, we’re starting with planning for what we consider to be a normal season, right. So we’re planning for success. We’re getting our product position. We’re working with our customers, as I mentioned, on marketing programs. We are putting a lot more horsepower this year into our BioUnite program to ensure that people understand how a biological can fit into a standard practice, whether you’re an organic farmer, obviously, who is using our products today, but a conventional farmer, how does it work? How would you employ a product like ours into your program? And then in terms of just dampening the impact of any specific weather event, whether it’s in North America or Europe or Latin America, we continue to expand our portfolio in terms of our product line. We’re expanding our footprint in terms of the markets we’re serving, and we’re expanding our product portfolio, as we mentioned, and specifically in seed treatment. So we’re trying – we’re not trying. We are expanding the footprint and the diversity of this company so that we’re not heavily reliant upon one particular market for a major amount of our success going forward.
Ben Klieve: Got it, got it. Very helpful. And yes, you’ve been doing that for a while, and it’s a great success. So wish continued success on that front. And maybe what conditions that have been seen by you guys over the last couple of weeks out there continue here in the next year. Another question on the R&D side, you talked a lot about this already, but I’d like to maybe dive into the herbicide – the herbicide portfolio that you have. I mean the bioherbicide seems to be the holy grail in the biological space. And I’m curious kind of what needs to happen for those, I believe, three different products between now and commercialization. You referred to kind of formulation improvement, but really wondering kind of what steps need to take place before you believe you’re going to be able to bring those products to market?
Kevin Helash: Yes. Great question, Ben. And we – I can say that everybody in this company is extremely excited about our herbicide platform. So you’re right, we have three. We have two that are post emergent, and we have one that is pre and post emergent, which we believe is a very unique product that has both characteristics that you can imply it before the weed show up and also after the weeds are growing in the field. In terms of what do we need to do, there’s always work here, Ben, in terms of improving our formulation and increasing the concentration. But two of them, we are – I’d say, very close to getting it to a point where we believe we can have our first commercial launch. It may not be at the final end point where we can say, look, we’re going to go from everything from almonds and strawberries all the way to wheat. But certainly, getting a product out there that does fit in some of the higher end markets, broader – I mean, bigger, higher end markets, we think we’re making great strides. And I’d say as we continue to work with these products and put more of our attention on there, work with some of our collaboration partners on the chemistry and the formulation. Yes, we had – we’d say we have a clear line of sight to getting these products to market. These aren’t a pipe dream, and they’re not far back in the R&D shop. These are active and real, and we’re getting very encouraging results out of the lab and in some of our real-world trials as well.
Ben Klieve: Perfect. If you don’t mind, a follow-up to that, can you elaborate kind of on where that portfolio stands in terms of field trials? Has this been kind of very narrow field trials? Or have you done kind of broad-based trial that really validate the technology on a kind of wider scale in the field?
Kevin Helash: Well, Ben, I’d say that it is part, the herbicide program is part of our extensive field trial program. We’ve tested it ourself. We’ve also tested it in conjunction with some of our channel partners and some third-party collaborators. So if you think about where we’re putting the vast majority of the Davis research team focus right now, it’s on this program, the herbicide program. It’s not to mean we don’t have other products that we’re working on as we do. But if you’re walking around saying what is our own bio focusing on out of Davis. Right now, now that we have the 306 product out and with in the hands of the EPA, we’re putting a significant amount of horsepower behind our herbicide platform.
Ben Klieve: Got it. Kind of very interest. I look forward to more updates on that. Thank you for taking my questions. I’ll get back in queue.
Kevin Helash: Thanks, Ben.
Operator:  And there are no further questions at this time. I will now turn the call over back to Kevin Helash, CEO, for closing comments.
Kevin Helash: Thank you, operator. As we complete this year and move into the 2022 growing season, we need to deliver on four near-term tactics with long-term strategic benefits. First, we have to ensure our products are in the distribution channel and available on demand to our customers. Second, we must be opportunistic to take advantage of disruptions in the marketplace. Third, we have to build on the momentum of our seed treatment offerings globally. And fourth, we must maximize our presence on-farm by leveraging our BioUnite program. Our strategy remains sound, and we have the wherewithal to execute it to the advantage of all of our stakeholders. Thank you, again, everybody, and we look forward to speaking with you in the near future.
Operator: This concludes today’s conference call. Thank you all for participating. You may now disconnect.